Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advice that the discussion scheduled to take place today may contain forward-looking statements that involves known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company’s annual information form as filed with the Canadian Securities Administrators and the company’s Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today’s call is being recorded. Today is Tuesday, October 28, 2014. At this time, for opening remarks and introductions, I would like to turn the call over to the Founder and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you. And good morning everyone. As the operator said, I am Jay Hennick, Founder and CEO of the company. With me today is Scott Patterson, President and Chief Operating Officer; and John Friedrichsen, Senior Vice President and Chief Financial officer. This morning FirstService reported record third quarter results continuing the momentum of the first half of the year. Revenues were up 14% to $685 million, EBITDA increased 7% to $59 million and adjusted earnings per share came in at $0.75, up 9% versus the same quarter last year. Colliers International led the way again with another strong quarter generating double-digit growth in both revenue and EBITDA. In addition to the strong internal growth, Colliers also completed two significant acquisitions. The first was a large retail property management company in Australia bringing with it 45 large format shopping centers. We are now the third largest – the largest third party property management company Down Under with lots of growth opportunities in this and other related areas. The second acquisition completed just after quarter end was one of Collier's largest acquisitions to-date, AOS Group, a market leading commercial real estate and workplace consulting firm with more than 450 professionals and annualized revenues of about a $100 million. The acquisition gives Colliers a large footprint in France and a new one in Belgium, but it also strengthens and diversifies its platform in Europe. AOS specializes in creating enterprise value for clients, optimizing their real estate needs, enhancing their workplace design, its functionality, cost effectiveness and sustainability from initial concept to execution. AOS offices is in France, Belgium, UK, Spain, Netherlands and Switzerland have already been rebranded as Colliers International and have been integrated into our operations. We also expect the Colliers brand to accelerate the growth of both businesses in the years to come. AOS’s services can now be offered to Colliers’ clients seamlessly and on a global basis in all 63 countries. Put simply, this is win-win transaction and a very exciting one for both organizations. I should also mention the FirstService Colliers partnership philosophy made a huge difference in securing this landmark acquisition. Joining forces with outstanding professionals like Gilles Betthauser and his team, business leaders who have a deep passion for their business and a desire to retain equity in the businesses they operate day-to-day have always been a key competitive advantage for FirstService and Colliers. We expect continued momentum for the balance of the year and we believe the opportunity to continue to grow our business in major markets by adding and diversifying services and through acquisition and all under the Colliers International global brand will pay huge dividends in the years to come. Revenues at FirstService Residential were also up 10% during the quarter, mostly from solid internal growth as we continue to benefit from record retention rates of 95 % or better on long term management contracts. As you saw EBITDA growth was impact by employee medical costs which we expect will continue for the balance of the year. Scott will have more to say about this in just a few minutes. In addition to the strong internal growth, FirstService Residential also grew through acquisition. During the quarter we completed three acquisitions in California, in Texas and in Minnesota and just out to the quarter end we completed a fourth Arizona. Like our other operations, our growth strategy is to grow internally and through acquisition. However in case of FirstService Residential where acquisitions are a highly recurring residential management companies, our return on invested capital can be particularly lucrative. One of the reasons is the leverage we bring. Not only can we help our acquisitions enhance service delivery in their markets, but we also bring additional value to their clients through the many national programs we have, most of which create incremental profit opportunities for FirstService. And finally, in Property Services, we had an excellent growth quarter with revenues up 12% and EBITDA up nicely as well. While we reported solid revenue growth across the board in property services, it was particularly strong in our company-owned California Closets branches, where improving operating efficiencies and better consumer demand are both combining to drive better results. In addition to the usual internal growth, the case for FirstService brands has always been to continue to grow through further leverage that might benefit our company. Each of our franchise brands is a market leader and has an established reputation for quality and services excellence. If we can continue to drive incremental revenues to our franchisees we will increase our profits naturally though additional royalties, but we also believe that we have an opportunity to expand company-owned operations in some of our other service areas in the same way as we did with California Closets and we’re currently looking into this in more detail. FirstService brands is a key part of a long term focus of FirstService and we are excited about the prospects for this business in the future. With the strong results reported today multiple growth opportunities, several acquisitions completed this year, most of which actually towards the balance of the -- end of the year, second half of the year and our deep financial strength and cash flow, FirstService is better positioned than ever to deliver strong results for the balance of the year and beyond. Now before opening things up to questions, I would like to turn things over to John for some financial highlights and then Scott will provide his operational report.
John Friedrichsen: Thank you, Jay. As already reported earlier this morning in our press release and highlighted by Jay in his opening remarks, FirstService reported strong consolidated results in our third quarter continuing the moment from the first half of the year. Here are the highlights of our results from continuing operations. Revenues were $684.6 million up from $603 million in our third quarter of last year a growth of 14% on a local currency basis and internal growth of 10%. Adjusted EBITDA totaled $59.3 million, up 7% from $55.6 million last year and adjusted diluted earnings per share was $0.75 up 9% over the $0.69 in EPS reported from continuing operations in Q3 of last year. As outlined in our press release, in summary financial results released this morning adjusted EPS includes certain adjustments to EPS as otherwise determined under GAAP which we believe are not indicative of the economic earnings from our operations, all of which are outlined in detail in our release and consistent with our approach and disclosures in prior periods. Turning now to our cash flow statement, we saw strong results in our third quarter generating $62 million in cash flow from operations which was down slightly compared to Q3 last year due to changes in working capital which will reverse in Q4. Meanwhile, our year-to-date cash flow from operations is more than double the amount generated in the prior year. We had an active quarter of investing with $12.7 million of capital allocated to acquisitions in an average multiple of about 5X current year EBITDA, most of which was funded by divestiture proceeds of $10.8 million and an exit multiple of about 9X EBITDA. We continue to invest in our operations with $7.2 million expanded in capital expenditures during the quarter down from $9.6 million in the same quarter a year ago, the year-to-date CapEx of $35.9 million remains well ahead of last year’s $21.8 million and on plan for an elevated level of spend this year in the $45 million to $50 million range due primarily to new Colliers premises in New York and a couple of other major markets that we have discussed on prior conference calls. Moving to our balance sheet, our net debt position at quarter end was $349 million compared to $384 million at the end of our second quarter. Our leverage expressed in terms of net debt to trailing 12 month EBITDA was just over 1.5X down from 1.7X at the end of Q2 in the current year and 1.6X at the end of Q3 last year. With a relatively low leverage close to $300 million in available cash and undrawn credit under our bank lines and strong cash flow from operations, we have ample financial capacity to support the growth of our businesses and other capital requirements. Now I would like to turn things over to Scott for his comments. Scott?
Scott Patterson: Thank you, John and good morning. As you heard our strong results that Colliers have continued through the third quarter, revenues were $372.5 million, up 16%, 12% organically driven by very strong brokerage activity particularly investment sales across all three regions. Globally commission revenues on investment sales were up over 30% versus the prior year, with leasing revenues up near 10%. Investment sales activity was particularly strong in the U.S., the UK, and Australia and New Zealand. In the Americas region revenues were up 16% driven by strong brokerage activity in the U.S., Canada and Latin America. Investment sales lead the way up 18% across the region with particularly strong results in the U.S. Leasing revenues were up 10% in the region with 20% increases in Canada and Latin America supported by solid single-digit increase in the U.S. In our Asia Pac region revenues were up 19% in local currency driven by continued strong brokerage activity in Australia and New Zealand, supported by solid investment sales results from China and Hong Kong. Revenues in A/NZ were up over 25% in local currency with investment sales and leasing contributing approximately equally to a year-over-year increases. Revenues for the balance of Asia Pac were up 6% driven by double-digit investment sales growth tampered (ph) by flat leasing revenues. Turning to our Europe region, revenues were up a strong 20% year-over-year, driven by strength in Western Europe, primarily the UK and Germany. UK was particularly strong, up more than 40% in the investment sales, leasing and appraisal, which will all well-up over the prior. The UK economy continues to improve in both investment markets and the occupier markets are poised for continued growth. Much of our growth during the quarter was organic, driven by an improving economy of more so by the significant and successful recruiting that has taken place over the last 18 months, which has transformed our operations in London in particular. The recent acquisitions of BCL and H2SO have added to the momentum and we expect strong results for the fourth quarter. Colliers EBITDA for the quarter was $33.9 million or 9.1%, up from 8.2% in the prior year due largely to operating leverage. In summary, we had another great quarter at Colliers and our momentum and pipelines remain very healthy into the fourth quarter. We expect to finish the year strongly supported by generally favorable market conditions in all three regions. Looking now at FirstService Residential, we generated revenues of $250 million for the quarter, up 10%, 8% organically as we continue to win new contracts across North America. Year-to-date internal growth is over 7%, driven by market share gains and new development in each of our four regions and we expect this level of growth to continue for the foreseeable future. Our EBITDA margin in the quarter was a disappointing 6.6%, down from 8.5% a year ago primarily, due to employee health benefit cost which continued to run at level significantly higher than expectation in prior year. In our second quarter call, I explained that in 2013, we consolidated District Health Plans from across our many offices in the U.S. to align with our re-branding and also to comply with U.S. Healthcare Reform. For the first six months of 2014, our utilization experience and actual costs were much higher than expected, based on previous experience and industry actuarial tables. In the third quarter, our experience deteriorated further and our costs were approximately $3 million higher than prior year. We expect our experience to be similar in the fourth quarter. For 2015, our health benefit plans have been redesigned to better align with market, it will include greater sharing with our associates. In addition, increased health cost have been incorporated into our client budgets for 2015, principally for the thousands of cited associates we have that work full-time for a specific property. The appropriate sharing of cost with our associates and clients will reset the burden that we absorb to market levels. During the quarter, we also incurred a $1.4 million write-off of accrued fees for services provided in relation to the collection of delinquent homeowner dues. In third quarter, legislation in certain stage was clarified with respect to the collection of delinquent fees by third parties. You will recall that during the recent financial crises we were asked as property managers to assist our clients by becoming more involved in the collection process. The change in legislation has impaired our ability to provide these services in the future and our ability to collect accrued fees for current work in process. This does not materially impact our future revenues as we had largely curtailed our service offering in this area. So it is a one-time charge in terms of its impact in our results. In summary, we are pleased with our performance at FirstService Residential in terms of our ability to continue to grow our business. Our retention rates remained very strong and we have been clearly differentiating ourselves in the competition and winning market share every quarter. Now, withstanding this, we remain disappointed with our bottom-line performance this year and are committed to improvement in 2015. We will provide greater clarity on our expectations for 2015 in our year-end call in early February. Let me now turn to our Property Services division, which consists of our franchise brands. Our company owed California Closet operations and effect of last quarter also include Service America, a full service air-conditioning appliance and plumbing service company. Revenues in this division were $61.8 million for the quarter, up 12% over the prior year results, 9% organically plus the impact of our Paul Davis Canada acquisition, which closed during the second quarter of this year. Organic growth was led by near 20% revenue increase as California Closets supported by solid 10% growth at CertaPro Painters. Divisional growth was tempered by flat year-over-year results at Service America. Our margin for the second quarter was 24.4%, down from 27% in the prior year, primarily due to revenue mix change. Our California Closet company-owned operations have been performing very well year-to-date and had another exceptionally strong quarter growing 30% year-over-year. Our company-owned operations generated low-double-digit EBITDA margin, which is much lower than the royalty based margins from our franchise systems. Looking forward, we expect another solid quarter from this division at finish of the year. That concludes our prepared comments and I would ask the operator now to open up the call to questions.
Operator: (Operator Instructions). The first person is Brandon Dobell of William Blair. Please go ahead Brandon.
Brandon Dobell - William Blair: Just want to make sure I got a couple of things that squirt away. Sounds like nothing else further on the collection receivables issue to expect in Q4, so that Q3 was (inaudible) time we'll see that?
John Friedrichsen: Yes. That’s --
Brandon Dobell - William Blair: Okay. And just to make sure that the healthcare cost impact, should we expect a similar Q4 dollar impact as we saw in Q3?
John Friedrichsen: Yes. Yes, we'll experience the same kind of incremental excess cost in Q4 and then, we have a reset plan and contracts that start fresh with clients in January 1.
Brandon Dobell - William Blair: Got you. And then, looking at leasing in the Americas, pretty strong growth out of Canada, Latin America, how much you think of that is market share versus market? And then I guess, as a follow-on there looking at the single-digit leasing growth in the U.S., do you think that's a good kind of sustainable growth rate for you guys in that business looking out the next handful of quarters?
Jay Hennick: Yes. I think single-digit growth in leasing is a fair expectation looking forward. We – the pipelines are fairly robust in the U.S. right now and we expect a solid fourth quarter in terms of leasing revenues in the U.S. Perhaps, some headwinds in Canada with commodity prices and oil prices, which may delay decision making. But again, pipelines are very strong right now. 
Brandon Dobell - William Blair: Okay. And then bet was thinking about modeling the AOS business, is the seasonality of that similar to the rest of Colliers or should we think about fourth quarter not being as seasonally strong for that business?
John Friedrichsen: It's John. No, it's a – it doesn't have the same attributes in terms of seasonality that the other businesses do, in particular, the transaction related revenues, it’s much more of a fee-for-service contractual business that tends to be a little bit more consistent through the year.
Brandon Dobell - William Blair: Okay. Great. Thanks guys. Appreciate it.
John Fredrickson : Welcome.
Operator: All right. Our next question is from Frederic Bastien of Raymond James. Please go ahead Frederic.
Frederic Bastien - Raymond James: Good morning guys. Just want to build on the Colliers, do you expect or do you have enough visibility so that you’re comfortable that you can match or perhaps even exceed the strong performance that you posted in the fourth quarter last year, was quite a strong quarter then?
Jay Hennick: It was a very strong quarter and I think our expectation is that we’ll be very close in terms of our results to last year. I don't know, we’re expecting significant year-over-year increases.
Frederic Bastien - Raymond James: Even with the acquisition?
Jay Hennick: Even with the acquisitions.
Frederic Bastien - Raymond James: Okay. And what’s your – I guess in light of what’s going on in the global markets, what’s your visibility now on 2015, is that changed dramatically?
Jay Hennick: No, it hasn’t changed. I mean right now our pipelines and activity remain quite strong in all three regions. There are few pockets where we have some weakness but I don’t think it’s changed dramatically in the past quarter, Frederic.
Frederic Bastien - Raymond James: Okay. That’s helpful. Last question for me is on the franchise business. You mentioned that the revenue mix had an impact on the margin in the quarter, is this a one-time event or expecting this to be carried over to future quarters?
John Friedrichsen: I think we can expect some dilution to continue, but it’s all good news, it’s really because of our company-owned operations are performing so well and we have plans to overtime bring in more company-owned stores as Jay mentioned in his comments and that will serve to dilute the margin gradually over time.
Frederic Bastien - Raymond James: But that would be offset presumably with greater revenue growth?
John Friedrichsen: Yes, I mean, we have, and absolutely the (inaudible) right.
Frederic Bastien - Raymond James: Excellent. Thank you.
Operator: Our next question is from David Gold of Sidoti. Please go ahead David.
David Gold - Sidoti & Company: Hey, good morning. A couple of things I just wanted to touch on. First, as you think about the Colliers business today, in order to meet the largest acquisition in your history post quarter can you talk about, plus on the acquisition front going further particularly the geographies and services that you want to add?
John Friedrichsen: Yes, we are incredibly excited about the opportunities for growth at Colliers not just internal growth David, but also growth by adding additional services like AOS has done but there are countless other commercial real estate services that are being delivered in many different markets that would benefit by being part of a Colliers branded global platform. And so we are quite excited about some of the things that we’re seeing, we do have an interesting pipeline of acquisitions in the Colliers area, but they’re vary. They are not just traditional brokerage operations but they are real estate services around commercial properties in a variety of different areas. And so we see just many opportunities to continue to grow this business in the years to come.
David Gold - Sidoti & Company: Got you. And the other side about is with given all the recent deal activity particularly in the commercial real estate side, can you also speak a little bit, Jay, towards what you’re seeing out there by way of price, if there are fuels out there that are reasonably priced or presumably the smaller ones are a little more attractively priced as it gets?
Jay Hennick: Well, I think there is two to three levels of pricing. In terms of larger acquisitions and there are some consolidation going on in the industry, pricing is large and high in those areas, that’s never been a focus for FirstService. AOS was one of our biggest acquisitions to-date. We see the opportunity for us to continue to strengthen existing operations primarily smaller businesses and, therefore, pricing at more historical levels from our perspective.
David Gold - Sidoti & Company: Got you. Perfect. And then, John, just to be sure understand it correctly, I mean medical costs as we go forward or get out of let’s say 2014, 2015 and beyond do you expect that that doesn’t hinder I guess and may be even helps you from an earnings perspective?
John Friedrichsen: Yes, absolutely, we will strand these costs in 2014 and move forward without that drag.
David Gold - Sidoti & Company: Got it. So embedded in that would be we get away from the drag and then presumably, we actually have some pick up given the changes?
John Friedrichsen: Yes.
David Gold - Sidoti & Company: Perfect, thank you both.
John Friedrichsen: You're welcome.
Operator: Our next question is from Stephanie Price with CIBC. Please go ahead, Stephanie.
Stephanie Price - CIBC: In terms of FirstService brands, you mentioned potentially the acquisition of more company-owned stores. Could you kind of talk a bit about FirstService brands and your thinking on growth in that division.
Jay Hennick: Well, the first focus would be on acquiring more of the California Closet franchisees as our larger more successful franchise owners’ look to succession. We have continued to look at adding incremental company-owned operations. Our goal is to own the major markets in North America over time. It gives us more control over the brand and there is also an opportunity to achieve considerable economies of scale by moving and consolidating the manufacturing and board cutting to one or perhaps two regional centers which will result in an improved quality consistency and ultimately efficiency. So, it’s a long term plan and really in collaboration with some of our larger franchisees over time.
Stephanie Price - CIBC: Okay. And then just continuing in the acquisition theme with Colliers, can you talk a bit about acquisition potentially by geography and how your Colliers franchise is looking, what holes are you looking to fill geographically?
Jay Hennick: Well we believe that for the most part we now have the global platform that we need in different geographic regions. Obviously, we always to strengthen our market position in different markets. So there is opportunities to do tuck under acquisitions, it doesn’t matter whether it’s a Colliers, local franchisee or not, in fact, the numbers of Colliers franchisees is in different regions is getting less. So you’ll see most of our acquisitions going forward in this last quarter obviously but most of our acquisitions going forward will be non-Colliers operations in different regions that will strengthen us either in our core services or add additional services like we’ve been pursuing over the past couple of years.
Operator: Our next question comes from Stephen MacLeod of BMO Capital Markets. Please go ahead Stephen.
Stephen MacLeod - BMO Capital Markets: Just wondering if you can talk a little bit about on the FirstService brand side, why your company-owned operations are performing so much better than the franchise businesses or is that the way to read it?
Jay Hennick: They are outperforming the system in general. And in 2013 we started to invest in our company-owned operations more aggressively to ensure that we were setting the tone for the brand and ensure that we were employing all of the proven best practices across the system including the style size and set up of the showrooms, the product security, the approach to customer service and so on. We have the years and years of data to know what works; we’ve implemented it now in all of operations and is showing, the growth of the company-owned has outpaced the franchise system really all year.
Stephen MacLeod - BMO Capital Markets: Okay. And so is it also market specific, like your company owned, are you owning the franchises in faster growth geographies?
John Friedrichsen: Not necessarily, we tend to be weighted towards major markets but not necessarily stronger markets.
Stephen MacLeod - BMO Capital Markets: Right, okay. And then just honing a little bit on the margin profile sort of 2015 and beyond in the residential property management business, do you have a specific target as to one you think you can get back to the sort of historical levels of 9%, 10% in that business?
Jay Hennick: It’s going to take some years, next year we’re targeting between 7% to 7.5% but we’ll add to that clarity in our year end call. Our long term goal is still marching towards 10% and the key for us really is to get through our systems implementations and infrastructure build around our shared service centers so that we’re able to regionalize and centralize many of the functions that are in some cases taking place in over 100 locations right now. There are significant efficiencies available to us but we need to get through the systems implementations which will take us through ‘15. So we’re a few years out, but we’re confident in our direction and but it is -- it will take some time.
Stephen MacLeod - BMO Capital Markets: Okay. That’s great. And then I guess similarly for Colliers, if you’re sort of, if you match last year’s result you’re probably looking at a 10% margin for this year. What kind of leverage do you see going forward in terms of the margin profile?
Jay Hennick: It will continue, I mean the operating leverage exist in this business model so it’ll continue to tick up but we’ve enjoyed some significant increases the last couple of years. So we’ll be more gradual and incremental in the future.
Stephen MacLeod - BMO Capital Markets: Okay. That’s great. Thank you very much.
Operator: Sir, there are no other questions at this time.
Jay Hennick: Okay, ladies and gentlemen, thanks for joining us on this third quarter conference call. We look forward to visiting with you again when we report our year end numbers in February. Thanks again.